Operator: Hello. And welcome to Burford Capital’s 2022 Annual Financial Results. My name is Harry and I’ll be your operator. [Operator Instructions] It is now my pleasure to hand you over to Christopher Bogart, Chief Executive Officer to begin. Christopher, please go ahead when you are ready.
Christopher Bogart: Thanks very much, Harry. Hi, everybody. Thank you for joining us once again for some discussion about Burford and its performance. As usual with me is Jon Molot, Bulford’s Chief Investment Officer and Jordan Licht, Burford's Chief Investment Officer. And you're going to hear from both of them during the course of the call as well. We're very pleased to be doing this today which meets our prediction about when we would have full year results for you. And while you already had a sense from our call in March that those results were going to be strong, today really confirms that our performance. We're going to do a few different things on this call, and they are summarized on slide 3. First, we're going to talk about our audited 2022 financial results, which show our EPS more than doubling, with strong growth in both capital provision and asset management income, which adds to the strong cash performance the we reported to you in March. Then Jon is going to say a few words about early 2023 activity and just how much is going on in the portfolio right now, as well as touching on events in the YPF matter. We've talked before about our data science work, and we'll update that a little bit in the context of rapid developments in AI. And then Jordan will spend some time walking you through our revised fair value methodology, how it works and what its impact is, as well as touching on liquidity. And we'll leave a substantial amount of time for your questions. Turning to slide 4, to talk about results. In the context of an environment where courts were still suffering meaningfully from the effects of the pandemic. We had a really strong 2022 and look forward to 2023. Just looking at the numbers on this page, our net income more than doubled, our asset management income doubled, and our capital provision income effectively our core business rose 64% on a consolidated basis and 30% on a Burford only basis. That was happening because of the increased velocity in the portfolio as courts came back to life and cases started to move forward again. And that velocity shows itself in two ways. Sometimes it's with cases that actually conclude either by settlement or adjudication. But it's often by cases simply moving through adjudicative milestones that takes them closer to that conclusion. So we had both species of those things going on, and we continue to in 2023. Jon will talk in a minute about the velocity we're seeing in 2023, but the shortened version is that it has increased considerably, even over 2022’s levels. However, beyond the numbers that are on this page, our story is actually even stronger than those numbers indicate, because as Jordan will go through in a few minutes, our new valuation methodology caused 2021's numbers to improve a fair bit, while also imposing a penalty on 2022 for the increases seen in market interest rates. So while our net income more than doubled under our new approach, it would have at least quadrupled under our prior approach. So we're pretty pleased with where things stand. And with that, Jon will talk about 2023 and YPF.
Jon Molot: Thanks Chris. And thanks to you all for joining. Turning to slide 5, it really picks up on a theme I mentioned a few weeks back when we updated you on 2022 performance. That the portfolio's activities at a level we just haven't experienced historically. Remember, our business expanded dramatically in the years just before COVID and one would have expected this larger, more robust portfolio to lead to much more activity but for COVID slowdowns. And then 2022, we saw a resumption of activity, but on a much larger portfolio than we had before the pandemic. And 2023 has seen that pace continue unabated, so that if you look at Q1, 2023, we had 23 case milestones. We've had five already in Q2 with 17 more that would be expected based on court schedules. And the pace is expected to continue into the second half with more than 40 expected case milestones based on court schedules, I mean, court schedules. So what is a milestone? It’s trials, it’s appeals, it’s rulings on disposal positive motions. It's the important motions and rulings that affect a case's value and trajectory. Sometimes those dates do get pushed back as calendar shift. A court may schedule a trial and then push it back a couple of months. But sometimes they pop-up when not expected. A motion could be pending for a long time, and a court just decides it out of the blue as we'll talk about on the next slide. But the message is that the large, valuable, robust portfolio we put on that I've been talking to you guys for a while about how pleased I am with the deals we are doing. That portfolio is now actually moving through the litigation process at a very good clip. And that's what we like to see, because that's what leads to results. We'll have more to say about all this when we release our Q1, 2023 earnings, which we expect to do in early June. Turning to slide 6, I'll just say a few words about the YPF matters, which we've obviously put out a release about when it happened. To go over it again, the ruling resulted in summary judgment on liability against Argentina and summary judgment in YPF's favor. In addition, importantly, the court rejected Argentina's efforts to evade damages or reduce them through a variety of legal arguments. And it reserved just two issues for a short trial on damages. Those issues are the precise date of the breach, which would be somewhere between April 16 and May 7, 2012, and the pre-⁠judgment interest rate to be applied from 2012 to the present day. The court did rule that the rate would be the higher commercial rate rather than the lower administrative rate that Argentina had argued for, but it reserved the question of precisely what rate to apply. We don't have much more to say than what was in our release right after the opinion was handed down, but after the court rules on the damages hearing and issues of final judgment, there'll be appeals, though the judgment would be immediately enforceable absent a stay or Argentina posting a bond. And I suppose that there'll be more about this as time goes on. We're not in the same long-⁠term waiting pattern that we were for a while before March 31. And with that, I will turn it over to slide 7.
Christopher Bogart: Thanks, Jon. And just on the subject of YPF, I know, we all know that people would love to ask a lot of questions about it and would love for us to go into great detail about our strategy and our thoughts and our methodology. And I understand the human desire for that, but as everybody steps back and just thinks about it, it's pretty obvious why that's a bad idea. And ranging from hurting the case to angering the judge. And so we're just not going to be in a position to do that. So while we love your questions on every topic, we're just not going to be able to say anything more about YPF than we have already said. The procedural process is clear and we're now just waiting for the next step. So please avoid torturing us by trying to get more out of us because it's just actually not good for the company and for shareholders to try to make that happen. On slide 11, I'm just going to talk for a minute about AI. Given that we have a lot to show you about our revised approach to fair value, I'm not going to spend a lot of time here. And instead, I'm going to talk more about it in the future. But given the speed of change that we are seeing in the world of data science and machine learning, I wanted to give a little bit of an update from the discussion we had on this topic at our Investor Day about 18 months ago. What we said then is that we have a few significant things going on in Burford's business that set us apart from our competitors and create a significant advantage, a significant competitive moat for us. In the succeeding 18 months since the Investor Day, we have invested more, we've expanded and built more, and we've deepened that advantage. The real root of our advantage comes from the substantial amount of proprietary data we have about litigation outcomes combined with years of investing in data science and quantitative analysis. Today, the outputs from that work are an integral part of our investment decision making process, both at inception and throughout a matter's life thereafter. Given the increased cycle times of AI development, we can make increased use of machine learning as part of our process at ever more attractive cost. And we can also use AI to increase our use of the truly massive amount of data available publicly about litigation that is difficult to integrate and to assess on a human level. Fear not, however, ChatGPT is just as afraid as everyone else who looks at our space to make predictions. And you can see the ChatGPT output sitting there on the slide. It's worth reading and just smiling at it. We're a very long away from lawyers and judges being replaced by sentient AI adjudicators. But AI is a big net positive for our business. And we're going to continue to talk more about it in the months to come. Now let's turn to fair value and start with slide 8. I said in March on our call that while I regretted the timing and the resulting delay in the release of our financials, I was actually pretty pleased about of this happening and about our engagement with the SEC. And the reason that I was pleased is that I hope never again to need to have six slides in a presentation deck on fair value. Indeed, I hope after today that I never have to talk about it again, just as when you listen to Blackstone or KKR's earnings call, they don't talk about their approach to fair value. It just is, financial firms fair value their assets. They're required to do so. And we will now be doing so under an approach that looks and smells just like other finance firms and has been the subject of extensive engagement with the SEC. So that we now have something we think is an industry standard, certainly for US GAAP firms and likely for IFRS firms, as there is very little difference between GAAP and IFRS on this point. Jordan is going to take you through the details of this, but I'm just going to make a couple of broad points at the beginning. First of all, the fundamentals of our approach remain the same as they always have. The largest driver of value in this business is court decisions and they will remain the key driver of our valuations, just as they have been since our founding 14 years ago with, by the way, 14 years of unqualified audit opinions on this very topic from Ernst and Young. Second, the quality of our modeling and our investment work is such that we're ready to join the mainstream and also take into account other typical valuation factors. Like the passage of time, changes in interest rates, foreign exchange, and other non-litigation risk. Some of this is really just common sense. While court decisions are a critical element of our asset valuation policy, I think we can all agree that if I offer you two choices, behind door number one are 10 brand new litigation cases just filed. And behind door number two are 10 identical cases that, while they have not had any court decisions, they've all been running for two years. You'd pay more for what's behind door number two, and you do that just because the cases are closer to the end. So that's an appropriate thing to take into account when we think about fair value. Importantly, though, and I really want to underline this, as I have said for years, we run this business on a cash basis. I can't spend fair value. It is just an accounting concept. We don't pay people on the basis of fair value. And so while we obviously have to comply with the accounting rules and put out audited statements for all of you, all of what we're talking about here really has very little to do with our day-to-day lives in running the actual business. And now here's Jordan to take you through those.
Jordan Licht : Thank you, Chris. Good morning, or good afternoon to everyone. I've been at Burford now for eight months and I spent though my entire career in specialty finance, whether it was a banker, a consultant, or a senior executive. And what I see here year is at Burford and the litigation finance industry continuing to evolve similar to how other industries have in the past. We're adopting a valuation approach that's more consistent with specialty finance firms or other financial assets more generally. And while doing this, though, we're retaining, as Chris mentioned, the key valuation principles of the asset class, namely, using case milestones to continue to drive value, but also building in traditional metrics like time, value and duration. So on slide 9, what I'll walk through here is the theory behind our prior approach and our revised approach. The top of the slide shows our historical approach, or what I like to refer to as cost plus. We deploy cash, and we put that deployed cash value on the balance sheet, and in each period, deploying more cash would increase the fair value by that deployed amount. When we experience the case milestone, we would write that asset up or down pursuant to ranges in our valuation policy when we witnessed an observable event. However, that approach doesn't incorporate traditional valuation factors like time, value and duration. So our revised approach now moves us to the mainstream of fair value instead of just holding our assets at cost and building up value over time, we start with expected value, what we call our win node. Our win node is what our modeling suggests is the most likely outcome come if the case goes all the way through the litigation process. Everything in litigation starts from that point. A great example which most of you or many of you have seen recently, is the case of Dominion Voting Systems against Fox News. That case claimed $1.6 billion but settled for $757 million and everyone who talks about that settlement considers it against the perspective of the original damages claim. So we have our win node. We then work backwards. We take the win node and discount back to the initial NPV, and we show that on the graphic as t equals zero, which is where deployed cost equals fair value. Case milestones still drive the bulk of future valuation changes, but duration, discount rates and other factors are relevant to the changes. I think, though, this is going to be a little bit easier. Not in theory, but in some numbers. So let's turn to the next slide, and I'm going to start with an example. So on slide 10, we start with expected out flows, the cash flows we expect to provide to the case over time. For simplicity, let's use a single outflow of 100 at t zero, which is how a monetization would work. We then consider expected inflows. I just discussed the concept of the win node in this case that is 200. And we have a market observed discount rate and a duration predicted by the individual case dynamics and the experience in the underlying court. At this point now, if we were to simply discount back on that basis, 200 at 7% over three years, we would end up with a much larger present value than the 100 of deployed cost. Or if we force the discounting to get to the present value of 100, we would end up with a very high discount rate. And as we've said before, we don't think it's appropriate to accrete income on that purely time based approach. So what do we do instead? At this point, we calibrate the modeling to the present value of 100. So we look at the future value of 100 at the 7% over three years and then that gives us 123. And we'll use that as our market and time based component, which is going to accrete over time and it's going to adjust every period based on changes in interest rates, duration and other factors. However, we're expecting 200 from the win node, which leaves 77 for what we call the litigation risk premium. That premium just sits not on the balance sheet, but waiting for case milestones. Then, as case milestones occur, some of that premium, the 77, will come into income just as it did under our prior methodology. So let's now walk through how that happens. So, turning to slide 11, in the first period that's the left hand side. We demonstrate no case activity. So all that happened was that the duration of the case declined from three years to two. That reduction in duration causes some accretion of income, seven in this example, as opposed to no revenue recognition under our prior approach. That part's easy. Now let's move to the second period on the right, we show the impact of some positive case activity. And here again, our approach has not changed. This case success under old regime would have resulted in a 50% write up. And under our new approach, we also take 50% of the litigation risk premium. That premium was 77 originally, so half of that takes us to 39 with some rounding. Two ways to look at this. We take the 123 and add 39, which takes us to 161. Again, ignore the rounding, or you could have just started at the 200 win node and reduced by 39 to 161. Then again, it's just adjusted by the remaining duration at this point of one year. At the end of the day, under our old approach we would have taken 50 of revenue from the case milestone in year two. Under the new approach we've taken 51 of revenue, seven in year one and 44 in year two. Hopefully that example helps. I'm going to now turn to page to slide 12 and go from kind of the specific to the general. What this slide shows is a few macro points about this new approach. A key point is the impact of a rising discount rate on asset values. As you can see, our discount rate has increased from 4.1% to 7.3% in the span of four years and that's had a meaningful downward effect on asset values as we're discounting at a higher rate than the previous years. The graphic then on the right hand side attempts to quantify that effect and basically shows around $400 million in foregone income from the portfolio because of that increase in discount rate. But of course this doesn't change the ultimate resolution of the case and we would recognize this income assuming the case performs eventually as expected. Going forward, we can expect to see sensitivity to interest rates so that increases in interest rates can cause declines in asset value and vice versa. I turn to slide 13. Another illustration of the macro effects of this policy. To begin, you'll see that deployed cost is the same across the board. No changes there. The YPF asset value didn't move meaningfully. And we do adjust the model every period based on all the factors we've already discussed previously. So fundamentally, you're seeing moderate increases in total non-YPF fair value based on the methodology that we talked about. But it's not in any way a dramatic change. Overall, you'll see the deployed cost still makes up around 50% of the value CPAs on our balance sheet, including YPF. Also, you'll see that fair value market, excluding YPF as a percentage of deployed cost is about 24%, which is similar to the 20% under the old methodology. So, before I move on, in conclusion, we have a valuation approach that at its core similar to many financial assets with respect to time, value and duration. But we've been consistent with our principles that case milestones continue to be the principal determinant in driving fair value. We're happy to present this to you today, excited to continue being the leader in the industry, whether as the leading global finance provider or in setting the standards for fair value. I then move on now to slides that you all seen before, so I won't go into all the details. Two simple takeaways, low leverage remains and I'm on slide 14, low leverage remains. And that was our leverage level was slightly improved upon with the updated method, given the slight rise in asset value. And we can continue to maintain an appropriately laddered maturity schedule. Overall, we'll continue to be prudent users of leverage in our capital structure. We'll deploy capital as appropriate into litigation finance opportunities. And then finally, slide 15. So on the left hand side. We see a bridge of our cash movements in 2022. I'd highlight the $328 million of cash receipts, which was up 17% from the prior year. And then finally, while we're planning on releasing our full Q1 numbers later in June, our cash balance at the end of the year represent to $210 million with an additional $115 million in receivables. And we show our Q1 balance of $183 million with $99 million of receivables, the bulk of which we expect to receive this year. So with that, I look to hand it back over to Chris.
Christopher Bogart: Great. Thanks very much, Jordan. And turning to slide 16, I think that we've probably exhausted you on the question of accounting, although we're happy to take your questions about our new methodology. Let me come back to the basics of the business here. And this is a slide that you saw in March, but I think that it really does sum up the value proposition of holding Burford Equity. We think an investment in Burford gets you four things. It gets you a six plus billion dollar portfolio of legal finance assets that have produced high returns in the past and whose velocity is accelerating after several years of COVID slowness. It gets you the industry's leading origination platform which has done more than a $1 billion in new business in each of the last two years. It gets you the sector's largest asset management business whose income doubled last year as [BAFC] are large fund with our sovereign wealth fund partner continues to mature and it gives you what remains, in our view, close to a free option on the YPF matters which we now know are going to result in a multibillion dollar judgment. So we're pretty pleased with where the business stands. It's been an aggravating couple of years as we've seen the courts really impacted by COVID and really slowed to a crawl which has had an impact on our portfolio. And so there's a great sense inside the business of excitement and enthusiasm about not only being back to sort of a normal pace but also having the court system increase its velocity to try to catch up and to clear that backlog. And with that we will take some questions. Thank you.
Operator: [Operator Instructions] And our first question of the day is from the line of James Hamilton of Numis.
James Hamilton: Thank you. And thank you for the presentation. A couple of may I, firstly, you had 28 milestone events so far and you got a further sort of 61 in the pipeline. Useful sort of data point. I was just wondering if you could compare that to the same time last year in terms of number of milestones you've had and expect. And secondly, in terms of the relative quantum of the deployed capital in those cases where you have had milestones and expect milestones. On the second one, you had record commitments and deployments to gain, the sort of future value pipeline. I was just sort of wondering how does the pipeline for commitments and deployments look as we stand today?
Christopher Bogart: So let me take them in reverse order because I'm going to do the first one and then Jon Molot will do the second. So as I've said before, when you think about our pipeline and how much new business we're going to do in any particular period, that's really a function of two almost separate things. First, we have an ongoing level of business activity, just as the largest player in the space with just a sheer number of cases that we look at. And that has now turned itself into almost just sort of an ongoing annuity like approach to things. And these are really the cases where we're putting out $10 million, $20 million, $30 million against pieces of litigation. So that's something that we are sort of constantly looking at. We've got a flow of those cases. And then the other part of the pipeline. And what really ultimately determines the fundamental numbers that you see are whether we end up doing sort of zero, one or two really big chunky deals on top of that run rate business. Those deals are much more episodic and they're much more difficult to predict or to yes, just to predict. And so in any period, it's really a question of whether that's going to happen and if so, in what kind of size. And you've seen big numbers in the last couple of periods because we had big deals in those last couple of periods. But it's not necessarily the case that every single time we'll have that. So you will see some volatility in that number. But the fact remains that we're still seeing and originating a very significant amount of business. And there's no question that there has been demand. We've also been a lot in the news of late for a variety of reasons, and all of that, frankly, has contributed, I think, to the corporate sense that we are the place to be with, if you will, the clear leader sort of like if you're going to try litigation for the first time, sort of the old tech adage, nobody ever got in trouble for buying IBM. Burford has sort of fallen into that category, I think, for users of litigation finance. Jon, do you want to give a little more color on the forthcoming case events and how they relate to the last couple of years?
Jon Molot: Sure. I can tell you that anecdotally there is a market difference. But the feeling in the team in 2022 was it is very much a relief to have things back to where they were, basically to feel like things were moving through again after I think I don't know how many earnings calls it was probably three during COVID where we would say not much has happened. Nothing bad has happened, but there just hasn't been where things moving through in 2022, it was like things are finally happening again. 2023 is a whole new level. Just the number of things each week on calls, getting updates on, there'll be a single underwriter who's got multiple cases that are having major events that week, and that's across the whole portfolio. So there's a market change. And in terms of what that bodes for the portfolio, more important than the actual numbers, we give you the numbers. That's my concrete way of conveying the sort of sense of the business of what's happening. But basically, we had modeled our entire portfolio based on our underwriting, which we update every quarter. And we had a sense internally that as courts resume, this is the trajectory we would expect things to follow. And now we are seeing things follow that trajectory. And so I wouldn't say that there's any surprise in what's happening in the portfolio, only it sort of reaffirms the investment thesis we had when we made each individual investment and our overall sense of the value of the portfolio to actually see things moving through. In a way that 2022 was reassuring, that finally the world come back to life and the courts are actually operating. But we hadn't yet seen the robust level of activity that was leading to conclusions that we would have predicted when we put the investments on.
James Hamilton: So I can have a sort of a quick follow up and I apologize to everybody else. Would you describe what you're seeing as catch up from the backlog that COVID produced or would you say that core capacity and we're now at a sort of a new normal?
Jon Molot: That's a really good question. I'd say it is somewhere between those two and that's anecdotal, but I think there is some catch up. But as I say, it's not unexpected. It's not that all of a sudden there's more going on in the portfolio than we would expect to, given the case stage. Chris has said from the beginning, when we founded this business. The great thing about this asset class is there are stages of litigation. They go through a motion to dismiss, they go through discovery, they go through summary judgment for US commercial litigation, and there are similar stages in international arbitration. It's a jurisdictional phase and merit phase. Quantum and we're basically just once again seeing things move through those phases as they should be, rather than at some unexpected lightning pace to catch up for the past. So I think probably there was a moment where we were doing catch up, but probably when we were doing catch up, that meant an older case was moving, but a newer case wasn't yet. And now I think we're moving toward sort of the new normal. I think that's probably the best way to and the new normal is the old normal. It's what we expected, but it's just on a much larger portfolio than we had before COVID.
Christopher Bogart : Thanks, James. The other part of what I've always said, which I think it's important to underline here in this context, is especially as we go into a period of some economic turbulence, is that unlike many other kinds of investments, like private equity and venture capital, for example, we don't need positive market to exit our investments. We don't need a buyer, we don't need a process, we don't need an IPO. The litigation system delivers us an exit in every single investment that we make just by the passage of time. And as Jon said, that was slowed because of COVID, it is now resuming. But the fundamental point remains absolutely true and it's why this business doesn't have any correlation to sort of underlying economic trends and conditions. So we've got a question on the webcast from Julian Roberts at Jefferies. And Julian asks one of your largest investments saw a partial resolution in the second half. Resolutions relating to about half of the deployed capital have been reached at an ROIC of over 40%. Is it reasonable to suppose that the other half is also quite close to resolution two? Is the timing difference related to differing jurisdictions? Jon, would you like to comment on that?
Jon Molot: I can't really say too much about an individual investment, but if I recall, the investment that you are referring to, Julian, is the IRRs were also in excess of 40%. And we've said with respect to the portfolio generally, and I don't want to speak to or make predictions about any particular investment, but that very often if we have an early resolution, it can lead to higher IRRs, lower ROIC, and later ones can lead to the reverse. I don’t know that this one will, I don’t want to make a prediction this one will follow that. So I don't know that you can draw a conclusion about the exact return levels you're going to get from this other than to say it is always a positive when we have a successful partial resolution. It bodes well that the investment is going well, that the investment thesis is borne out. But I don't really think I should say more about the trajectory of an individual case in keeping with our policy.
Christopher Bogart: So another question from the webcast. This is from Jeff Keane at Waverton, who has taken a break from making money from charity by handicapping the masters. So thank you so much, Jeff, for doing that. I think that's a fantastic thing that you do. Jeff's question is, you have referred to the fact that the portfolio has the potential to release a significant flow of realizations ex-YPF. Are you confident that you have enough opportunities to redeploy those proceeds? So I think the answer from us is yes. It's obviously a high class problem to have and not one that we've had for the last couple of years because of COVID but I think the answer is yes. And I think the reason the answer is yes is a couple fold. Number one, you've seen us continue to migrate the business towards higher levels of deployment in cases, higher average deal sizes. And a good deal of that is happening because of the presence of corporate deals and corporate monetization. When this business was younger, much of what we were doing was what we today call fees and expenses business. In other words, we're just financing the legal fees and expenses associated with bringing the case. And those don't correlate necessarily to case size. So it can cost the same amount of legal fees to bring a $50 million claim and a $500 million claim. However, if the underlying investment transaction that we're going to do is a monetization for the corporate client, then it makes a great deal of difference for us whether it's a $50 million or a $500 million case. Because a $500 million dollar case allows us to monetize at a significant level. And you've seen a public illustrator this because one of our large monetization transactions became public during the course of the last six months or so. And so you've seen sort of a case study in action of how that capital has been used. We provided $140 million to Sisco at Cisco with an S, not the computer company, a large food distributor, a Fortune 50 company against a series of large, valuable antitrust claims. And so when we have the opportunity to do deals like that, those obviously soak up a lot of capital, and we continue to see opportunities like that in the market. So not only do I think we can redeploy our capital, as Jordan said, we've been a regular consumer of some amount of debt in the business as a way of topping up the capital that we generate organically so that we can continue to meet demand. So now there's another webcast question from Alastair Lindsay. Can you explain, please, the decision to cease publication of your modeling output? Did the SEC require you to stop? Clearly, you need to report on a fair value basis, but, like you, I am much more interested in cash generation and found the model useful for assessing future cash generation. So I think the way to put some color around this is to think about the dynamic in the accounting world where there is a tension between publishing GAAP and non-GAAP information, and our modeling output is clearly non-GAAP information. And so what we are doing instead, because we are not using today the full panoply of our modeling and our valuation process, we're just as Jordan described earlier, we're starting with the win node that constrains our ability to provide the full non-GAAP output publicly. And so what we're going to do in the months to come is figure out a way to at least provide something relating to the win node inputs into the fair valuation process. And that will give you, I think, a valuable piece of information from the modeling, given that everything else in the model derives from that starting point, from that win node, which is why we're using it for valuation. So I think we will find a way to share some meaningful portion of the modeling output. And then as time goes on, and as we continue to develop modeling work and continue perhaps to use it more broadly, this is not necessarily a static position. This is something that I think will evolve as the business does as well. And now we have a telephone line question, I believe.
Operator: We have a question here from the line of David Chiaverini with Wedbush.
David Chiaverini: Hi. Thanks for taking the questions in all the detail. In the presentation, I had a question on the leverage. So on slide 14, curious as to your comfort level on the leverage and if there's any change to that comfort level based on the new fair value approach.
Christopher Bogart: I’ll let Jordan pick that up. But my quick answer to the second part of that is no, again, because I think of the business in cash terms. So when I think about leverage, I think about how much average Jon and Jordan and I think the portfolio can service and take. I don't really think of it in terms of what sort of the balance sheet numbers provide for.
Jordan Licht : Yes. And as you can see, we're well, I would agree with what Chris said, but we're also well within, whether it's the covenant levels or what we would consider prudent leverage. And so I'm quite comfortable. And I think while the valuation approach obviously does change asset values ever so slightly. I think it fits neatly into the way we've constructed our current debt structure, capital structure.
David Chiaverini: Great. That makes sense. Sorry.
Christopher Bogart: Yes, go ahead.
David Chiaverini: I just had a quick follow up. So I wanted to ask about the competitive environment. You noted how Burford has been in the news more recently, and it's really drawing attention to how attractive this asset class is. Can you comment on any new entrance and if they're impacting your business at all?
Christopher Bogart: Well, as you know, I've long been a fan of entry and competition in this business. And the reason I say that is because I think a business like this does better with a robust market instead of trying to be sort of an esoteric monopolist. The more credible people who are out in the market talking up the use of capital in law, the better from my perspective. And I remain close to 15 years in entirely unconcerned about Burford and its team ability to meet any sort of competitive threat that we face. And indeed, I think the passage of time has only solidified that position for us. But the reality is we are still just scratching the surface of this stuff. The legal market is absolutely enormous. The top 100 law firms in the United States employ 100,000 lawyers. The law firms around the world bill close to a $1 trillion a year in legal fees. And I'm not suggesting all of that is addressable for us, not at all. But I am suggesting that this is an enormous market. And so when we get very excited about doing one big deal a year, great. We did $140 million with Sisco, a Fortune 50 company. Well, we've done a couple of other big company deals, but that still leaves the vast majority of those companies still out there for us to bring into the fold. And so what I'm after more than anything else is ubiquity. I want a world where corporate CFOs and corporate chief legal officers, just as a routine matter for every new substantial case that they are contemplating doing, run the same kind of analysis they do before they buy a new photocopier. Am I going to buy it, am I going sell, am I going to lease it, am I going to rent it? And in our case, am I going to use legal finance for it? So that's what I think of when I think about competition. So yes, there hasn't been really any notable entry of late, but there are lots of players in this market and it's a competitive market and I think that's a terrific thing. And our numbers suggest that we keep on winning the race.
David Chiaverini: Great. Thank you.
Jon Molot: If I could just add. I know Chris has been preaching this for a long time. I really do think his point about experience is borne it out. I just want to echo that, because we've seen entrants generate interest among counterparties, among law professors writing about it, judges talking about it. It's just become a much more commonplace thing to discuss. And as a result, as Chris said, CFOs are starting to ask not just general counsels. And as that begins to happen, the expansion opportunities are tremendous. And we've reaped the benefits of it because we really can compete head to head when we're forced to. And very often we're not forced to.
Christopher Bogart: Next, we have a webcast question from Dominic Warren. Why is there a large difference between net income of $97 million, but with only $30 million in income attributable to shareholders? Additionally, assuming this is linked to a lag in fund fees, what is the time frame for fund fees to be received by Burford and to be seen in the results? Jordan, do you want to take that?
Jordan Licht : Yes, I'll take it in the reverse order so we don't go out there and try and predict the duration of when those fees will come in. And so I'm going to skip that part. But what I will comment on is a couple of points. So, one, while you do see the difference between consolidated and income attributable to shareholders, that's just demonstrating the fact that as the portfolio and the business is coming out of COVID. And demonstrating the strength of the portfolio. It's natural to see the funds perform slightly beforehand given the fact that the expense base is borne by the company and we'll see that expand meaning what is attributable to shareholders and hopefully in the coming years to the extent that the portfolio continues to perform. I think that the other piece is important to note that we continue to focus on deploying capital to the balance sheet on those asset classes with generating the 20 plus percent IRRs. We're focused on retaining 75% of those assets to the Burford only balance sheet as opposed to historical years where that might have been different split. So and the last piece I would say is that as the funds perform, we perform. And you can see that in the growth in asset management fees in 2022 versus 2021.
Christopher Bogart: Great, thanks. Next from the webcast from Trevor Griffiths. Could you give a breakdown of operating costs split between those associated with the enforce portfolio and those associated with new business such as marketing, business development, due diligence, and case selection? Unfortunately, the answer is not really. And here's why. Why? So the way that we operate the business, we do have a dedicated marketing team, and the costs associated with what we spend on marketing are sort of in the low single digit millions. So that is a cost that we can isolate. After that, though, we don't have very many people who are specific to one or the other of those functions. In other words, when the fictional John Smith, who works for Burford, that person is going to be out in the market talking to lawyers and law firms and corporate clients. That person is going to be looking at cases as they come in the door. That person is going to be doing diligence and underwriting on those cases, assisted by others, and with a heavy overlay of our quantitative and data science work. And that person may well, if we close that deal, may well continue to own both the case and the client and go forward into continuing to case manage. So the expenses there don't really fall out. But if you look at our overall operating expense, we've got, as I said, marketing. We've got what seems to me to be an ever more expensive finance and operations function just by virtue of how big we are and our dual listing. And then everything else in the business is devoted to making money, is devoted to bringing in the business, doing the business, and getting that business to its logical conclusion.
Jon Molot: Could I just say?
Christopher Bogart: Yes. Jon wanted to add something and then we'll take what probably will be a final question from the phones.
Jon Molot: I just wanted to point out, I think the last three questions are very much related and all great questions about costs, about management fees and about competitors. And I think part of the reason we've really reaped the benefit of competition and we've excelled in comparison to competitors is a lot of them have the wrong capital structure. As Jordan said, we're gravitating toward more balance sheet investing and that's what you need to do. So you reap the benefits, you reap the rewards when you have wins. And a lot of competitors are not reaping enough of the rewards to cover costs and generate the kind of returns that they need to interest and reward their investors. And so they generate a lot of interest, but we ultimately are able to do the deals and raise the profits. So it's been a very good cycle for us.
Christopher Bogart: Yes, it's a terribly important point. It's one that we wrote about in, I believe, last year's annual report. And as Jon and I have said to you before, it's really what's driving our approach to capital allocation, to capital management, to our funds, business and so on. And we are unique, I think, in our industry about being able to do that. So let's take the final question from the phones.
Operator: Our final question here is from the line of [inaudible].
Unidentified Analyst: Yes, thank you for taking the question. You said that obviously you don't want to claim anything on YPF. I just want to confirm that the valuation of YPF is being conducted the same way as the rest of the portfolio. So let's say in 2022, where there were no milestones in the case itself, any changes to valuation would have been purely from passage of time, changes in expected duration and discount rate. Is that correct? Is that right?
Christopher Bogart: Yes, that is correct. So YPF just like any other asset, to the extent there was a market transaction, and so for us, in this case, there was a market transaction in June of 2019 allowed you to calibrate the model, and then from that point on, what you described is exactly what would happen to the extent that there is a case milestone, then that would be a factor in it or the passage of time change in discount rates.
Unidentified Analyst: Right. So in 2022, there was no actual case milestone because there might have been submissions, but submissions to the court don't count as a case milestone. Do I have that correct?
Christopher Bogart: Yes.
Unidentified Analyst: Okay. Got it. Thank you.
Christopher Bogart: So with that, thank you all very much for joining. It was nice to talk to you twice in the space of two months. And we're actually going to look forward to talking to you again within a month when we put out our Q1 numbers. So thanks for all of your thoughtful questions and your time and attention and your support for Burford. And thank you very much.
Operator: This concludes today’s call. Thank you all for joining. You may now disconnect your lines.